Operator: Good day, and welcome to the Q1 2015 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Harry Vafias. Please go ahead, sir.
Harry Vafias: Good morning, ladies and gentlemen, and welcome to our first quarter 2015 earnings presentation and webcast. This is Harry Vafias, CEO of StealthGas. Joining me on the call today is our Chairman, Mr. Michael Jolliffe; and Finance Executive, Mrs. Fenia Sakellaris, who will be presenting the company's financial performance at a later stage of our call. Before we briefly present our today's agenda, I would like for all of you to be reminded that we will be discussing forward-looking statements, which reflect current views with respect to future events and financial performance. At this stage please take a moment to read our disclaimer on Slide 2. It's noted that risks are further disclosed in StealthGas's filing with the Securities and Exchange Commission. Let's proceed in summarizing today's topics. I will begin with an overview of our company's highlights for the first quarter of this year, and then we will discuss our financial performance and provide an overview of the LPG market. And finally, after a close look at our stock performance, I will share our views and our company's outlook. I would like to note that all amounts unless otherwise clarified are implicitly stated in U.S. dollars. Let's move to Slide 3; to summarize our company key highlights for the period. With regards to our fleet and operations by the end of April and as per our CapEx plan we took delivery of three new Eco LPG ships, two of which are already fixed on bare charters, while one currently in the spot market will enter into a six-month charter in July. In addition we concluded in April the sell of two of our oldest vessels for demolition, thus easing [ph] our OpEx base, decreasing our fleet's average age, and setting a market example as we feel that the acceleration of scrapping might improve the current soft freight market. As far as our company's strategy is concerned, we continue to base our success on our low running costs, and most importantly our conservative charting strategy having secured in spite of tough market conditions about two-thirds of our fleet employed on contracts for this year. With regards to financial highlights, in Q1'15 we recorded highest revenue to-date of $35.7 million, for which we are particularly proud as we acknowledge the soft market conditions. Gearing remained low at 34%, while our unrestricted cash balance stood strong at about $128 million. In November '14, we reenacted a share buyback program of $10 million, which was extended by another $20 million in February '15. Since the initiation of the program to-date, our company has repurchased about 2 million shares for a total of about $12 million at an average price of $6.2 per share. Looking at our company's position against peers in Slide 4; StealthGas remains the leader in the small LPG carrier segment. Our company has the highest number of own vessel, and still has in line the biggest order book compared to industry peers. In terms of our average fleet age, it was reduced in Q1 '15 to 10.3 years from 10.9 years in Q4 '14, and will be lowered further as our remaining buildings get delivered over the next 24 months. Slide 5; this slide presents our fleet employment. In terms of chartered types, out of a fleet of 46 ships, and as at the end of April 15 we had 15 of these on bareboat charters, 20 on time charters, and 11 in the spot market. The two vessels that are chartered in by our company, the Gas Cathar and Gas Premiership, are also on time charters. Based on pre-agreed contracts, committed revenues amount to 238 million until 2022, marking an $18 million increase compared to the beginning of the year. This increase is partly attributed to the successful chartering of the Spike, our only Aframax tanker for a period of five years, the extension of the Gas Cerberus charter for another two years until July,'17, and the short-term, average four months, charter extension of another four LPG ships, the Gas Monarch, Gas Alice, Eco Lucidity, and Eco Enigma. We would like to point out that due to the soft market condition in this period we strive to follow a short-to-medium term charter strategy for our LPG fleet. In addition, I would like to stress that another sign of our efficient chartering strategy is the fact that nearly 70% of our ships that are above 15 years of age are currently on period charters. With regards to our fleet geography presented on Slide 6; 48% of our fleet trades in the Middle and Far East, 24% in Europe, and 18% in South America, followed by the rest 10% in Australia. As shown in the chart to the bottom left which breaks down our South American trading, we have increased significantly our trading in Brazil in the past 12 months, which although operationally is more difficult and expensive, it still remains one of the most profitable trading areas. In spite of this, due to the increased demand, the Middle East to Far East remains our major trading region with the majority of our fleets trading around China and Japan. Slide 7 demonstrates our fleet breakdown and development plans. As of April 30, 2015, our company owned a total of 46 vessels. We took three new Eco LPG deliveries since the beginning of the year, one in January, and two in April. And in addition, as announced in the previous quarter, we sold two of our oldest vessels for demolition. Based on our expansion plan, our company aims to reach 59 vessels fully-owned, and 61 vessels controlled by the company by the end of '17. We feel that our expansion program, based on quality vessels from only the top tier yards will significantly benefit our company in the long run. However, due to the weak market and declining rates we feel that strategically and to the benefit of our investors it's better to use company cash to acquire our own shares as we are currently doing than engage in the ordering or buying of additional ships. Moving to Slide 8, I will briefly comment on the remainder of our capital expenditure program. Excluding the 70.4 million advances paid to-date, we have an ongoing CapEx plan of another 323 million until the end of 2017 for an additional delivery of 13 new ships. As mentioned in the previous quarter, in '17 we expect the delivery of the four 22,000 cubic meter new generation semi-refrigerated vessels. Our strategic decision to enter this new market segment was not to replicate what we are currently doing as leaders of the small scale LPG segment, but rather to put us in a position to offer more integrated services to our customers at a lower cost and with brand new high quality assets. Similar vessels of this size are able to carry a bigger variety of gasses on medium haul routes. As presented in the capital expenditure analysis to the right, 70 million of our remaining CapEx are already been paid as equity advances, another 130 million is committed bank debt, while a further 125 is debt under negotiation. This leaves us with 67.7 million of equity funding. Taking into account that cash in our balance sheet stands at about 128 million, StealthGas is already in a comfortable position to equity finance these future CapEx requirements, and more if we need to. I will now turn the call over to Mrs. Fenia Sakellaris for our financial performance discussion during the first quarter of '15, and later we'll discuss the market and industry outlook.
Fenia Sakellaris: Thank you, Harry, and good morning to everyone. Let us move on to Slide 9, where we see the income statement for the first quarter of '15 against the first quarter of the previous year. In spite of the weak market segment, with declining oil prices, lowering LPG product prices, and consequently freight rates, our company managed to mark record voyage revenues in Q1 2015 surpassing $35 million. In spite of almost $2 million increase in voyage revenue compared to Q1 2014, higher voyage costs due to the increase number of operating vessels and almost double the number of vessels in the spot market, narrowed down our net revenues to $31.4 million. The running costs marked a 9.5% increase because of the five newbuilding additions and one vessel coming off bareboat charter. We would like to note that this quarter we incurred the reverse operating charge of $500,000 and therefore running costs would have been in reality high by the aforementioned amount. With regards to drydocking cost, we faced no charges in this quarter. Overall, our schedule for 2015 has two vessels to be drydocked in the second and fourth quarter of the year. Our EBITDA for this first quarter of the year came at $15.7 million, reduced by $1.6 million compared to first quarter 2014 as a result of the aforementioned increase in voyage and running costs, but also as a result of the incurred charter higher charge of $1 million for the sale and lead back of Gas Cathar and Gas Premiership that were fully owned by the company in the same period of last year. Interest and finance costs marked an increase of $150,000 mostly lead due to higher commitment fees for new loan agreements of vessels delivered within the examined period. With the net income of $5.8 million, our earnings per share was $0.14 on 42 million outstanding shares compared to $0.23 on 33 million outstanding shares in Q1 '14. Slide 10 demonstrates our performance highlights for the period examined, due to soft market conditions the operational utilization was 95.6% in Q1 '15 compared to 98.3% in Q1 '14, and spot days doubled as we had 11 vessels in the spot market compared to five vessels in Q1 '14. Focusing on the average daily results, adjusted time charter equivalent decreased by 10% to $8700, reflecting the weakening freight market and demand; in spite of non favorable market conditions, our results indicate our company fundamental value as apart from the fact that we managed to achieve record revenues, we also managed to decrease our daily OpEx by 9% compared to Q1 '14. Even if taking into account the $500,000 of reverse charges oppressed our our OpEx base, this quarter our daily OpEx is still 6% lower than Q1 2014, while management fees and G&A costs marked a moderate increase. Looking at our balance sheet in Slide 11, our asset base at $946 million is set below $1 billion and that number will grow by the end of this year with a completion of an additional seven new Eco LPG vessels. Compared to end of year '14, our asset base marked a slight increase in value following the delivery of the Eco Lucidity in January 2015. We would like to note that 14% of our total assets is comprised of cash and cash equivalents, which by the end of Q1 '15 amounted to $128 million. We find it very positive that despite soft market conditions, our operating cash flow report was sufficient to fund capital expense requirements of approximately $8 million, and the share buyback program of $6 million, thus leaving our cash balance little impact as our cash decrease for the quarter came at $1.6 million. Focusing on the equity and liability side, our gearing remains low in the order of 34%, and total company leveraged decreased by $2.5 million. We would like to mention that as in Q4 '14 in this quarter, we voluntary repaid a $30 million outstanding loan in March '15 that was due in June of this year, utilizing wisely our excess cash in order to reduce our cost of debt even further. Slide 12 proves our company's financial strength, although LPG charter rates are close to bottom of the rate cycle and that's presented in the top graph to the left, our daily TCE follows a decline in trend, our tightly managed cost base allows us to have a low breakeven, and we consistently profit make even at market lows. In fact, in the first quarter of 2015, we managed to lower our breakeven to $6070 a day. This reduction is partially attributed to the one-off expense claim of $0.5 million incurred this quarter, but most importantly we believe it is a sign of economies of scale brought up on effective management strategy. Looking at the graph below which depicts the evolution of G&A daily costs, it can be argued that we are consistently below $200 daily charges. In Q1 '15, if we exclude the non-cash stock based compensation charges, our daily G&A costs fell to a $175. To summarize our key points, we are leading a successful conservative expansion plan, while navigating and protecting the company. I will now hand you over to our CEO, Mr. Harry Vafias, who will discuss market and company outlook.
Harry Vafias: Thank you, Fenia. Let's proceed now to the market update in slide 13. The LPG market continues to grow, global demand for LPG has increased by 14% over the last decade, and global supply has grown by 22%. LPG trade is supply-driven and relies on short term regional differences. Looking at the left side graph which presents world LPG shipping supplied by region, it's evident that the LPG supply is undergoing significant expansion with key growth regions being Middle East, Asia, and North America. The rapid expansion of U.S. LPG associated with the U.S. shale revolution. The U.S. market is expected to play a major role in the development of the international LPG trade. This, however, will be determined by oil price fluctuation, as declining oil prices have led to a reduction in U.S. LPG production. Focusing on the demand side, in the right-hand side graph, it's evident that Asia is already the biggest LPG consuming region. Japan is still the largest importer of LPG, followed by the fast growing India that enjoys the development of the rural LPG market, and China that is highly dependent on the start-up and operation of PDH facilities. Slide 14 shows the evolution of LPG charter rates. As evident by the table presented, the small LPG segment has experienced declining rates during the last five months. Most affected segment has been the 5000 cubic meter pressurized ships, where rates have fallen by about 20%. Taking into account that lowest rate recorded has been about $7000 a day, it can easily be argued that the market is close to the historical lows. Low oil prices affect LPG demand, and consequently trade, and therefore should oil prices decline even further, we envisage to see a further deterioration of LPG rates in the near future. In addition to this, LPG rates differ in the broader LPG sector. In the diagram that demonstrates the evolution of VLGC rates versus rates for 5000 cubic meter pressurized ships during the last 10 years, it's interesting to see there has been no correlation between the two. While VLGC rates have enjoyed a considerable increase during the last year, rates for small ships have been following an opposite path. VLGC vessels focus on international voyages, while small LPGs on short-haul transportation of gas. Continuing to Slide 15, we present a snapshot of the small LPG fleet status. In terms of fleet age profile, as presented through the graph on the left, almost a quarter of the small scale LPG fleet is above 20 years of age. And therefore the market should scrap more ships. I strongly believe that in this soft rate environment the high number of -- with high number of newbuildings that we saw in 2014, along with minimal scrapping activity and until now, it does not help to balance itself. And moved over to the scrapping of older ships will relax vessel supply, and with a stronger Chinese or European economy it should have the market ameliorate further. This is the main reason why we took this strategic decision to sell two of our older ships for demolition. With this moving as market leaders, we hope to set an example for our fellow market participants to follow suit. I will now continue to discuss further the company's outlook commencing with our share performance for the first five months of 2015, in Slide 16. The performance of our stock is presented along with the S&P Index and selected gas carriers' peers group. Although StealthGas stock marked a 6% increase during the period, examined it's interesting to note that in reality outperformed both the S&P and the gas peer group. What we find more interesting is that the performance of all gas carrier stocks followed the oil price trend; a strong evidence of the extent which oil prices affect the gas market and investors' sentiment on the gas sector. Proceeding to Slide 17, we are showing different scenarios on the Company's performance for the year 2016, when the Company will operate a total of 57 vessels. In general, I hold a conservative view when making predictions. The different scenarios were built based on existing fixed charters and operational days with current market levels. As evident from the table presented, which indicates the effect of various time charter rates on our EBITDA, low rates obviously narrow our EBITDA potential. With our small fleet in place, we have the capacity in 2016 to reach an EBITDA of 90 million should the market condition permit so. To summarize, we have the infrastructure and market knowhow to navigate safely, even during the weak times, and this can be deemed as our Company's biggest success. Proceeding to Slide 18, the final slide of our presentation, we can see the valuation of StealthGas against comparable companies. All companies trade at a discount to NAV, while asset values exceed the current enterprise values. In that respect LPG carrier shares, including StealthGas, offer an attractive entry point. Our shares trade at a discount to the peer group, and since we' are greatly undervalued we currently offer a good opportunity for medium term investors. I will now hand you over to our chairman, Mr. Jolliffe, who will provide some concluding remarks.
Michael Jolliffe: Thank you, Harry. We are pleased with our performance during the first quarter of 2015, as our company marked record revenues surpassing 35.5 million in spite of the difficult market environment of the small LPG segment. Indeed, declining freight rates in conjunction with low oil prices have had a negative effect on freight rates for small LPG carriers, and therefore this quarter compared to the first quarter of 2015 fleet operation utilization fell to 95.6%, and our stock market days increased. Our company continues its steady performance, focusing on low leverage and reducing our ships breakeven even through this challenging environment. We are proceeding with our fleet renewal program, consisting of top quality eco gas carriers, and since the beginning of '15 to-date, we have added to our fleet three modern eco LPG newbuildings while scrapping out two oldest vessels, thus lowering our average fleet age to 10.3 years. Within 2015, we expect the delivery of another seven eco LPG carriers mainly from Japanese shipyards. In addition, our chartering strategy has been proven once again successful as we manage within the first quarter of 2015 to expand the fleet employments for the year to 66%, and increase our secured revenues to 238 million, up to 2022, which was 220 million in quarter four, 2014. Most importantly, we have proven to the market that our conservative philosophy works in both good and bad times. Now, current outlook for the remaining of 2015 is for LPG charter rates that lightly mark a further small decrease and inevitably we anticipate this to exert pressure on the weakest owners, thus seeing an increase of demolition. Our strong balance sheet with the ratio of debt to total assets of 34%, a strong liquidity, and ongoing profitability puts us in a position to address any challenges that might arise in the future. We have now reached the end of our presentation, and we would like to open the floor for your questions. So operator, please open the floor. Thank you.
Operator: Thank you. [Operator Instructions] We will now take our first question from Michael Webber from Wells Fargo. Please go ahead sir, your line is open.
Michael Webber: Hey, good morning guys, how are you?
Harry Vafias: Hi, Michael.
Michael Webber: Thanks for the commentary. Just a couple questions; and I wanted to start off with something industry-specific. Harry, you talked about this a bit in your remarks on rates, but I was hoping you can go into a bit more detail in terms of the differences between what we are seeing in some of the larger scale gas markets where rates are relatively firm throughout the balance of Q2. And the fact that it hasn't necessarily translated into some of the feeder trades in and around Asia would imply that there is not necessarily -- that the trade is not as volume-driven for the larger assets. So maybe just any color, whether there is a lag associated with that, that we could see a pickup in the next quarter. You touched on it a bit already, but maybe just a bit more color?
Harry Vafias: Yes. I think Michael, as we've discussed before, the rates between the big and the small ships were never correlated. To give an example, two years ago when the rates for the small ships were very firm, the rates for the big ships were very, very, very weak, created big problems for the owners of these vessels. Now we are in an exact opposite scenario where the rates for the small ships are weak, but the rates for the big ships are very strong. However, do not forget that in the big ships, a category, the huge order book has not yet been delivered. So of course we have to see what will happen when all these new ships fall between now and Q2 '16.
Michael Webber: Yes.
Harry Vafias: And also I don't know how many ships in that size segment are above 20 years of age. At least in our case there has been a number of newbuilding deliveries last year. There are a few more this year, but from '16 onwards the newbuilding order book for our types of ships is relatively small, and if you combine that with the fact that a lot of ships are over age in our segment we are sure that the owners continue to feel the pain for the remainder of the year. They will definitely need to scrap. As we said before we didn't need to scrap because we are very cash-rich and we have very low running cost, but we have to show an example, set an example. So we decided to scrap our two older ships and hopefully if we're right and the market remains weak until the New Year. We hopefully want to see more owners scraping their 22, 23, 24 year old ships.
Michael Webber: Right, I guess what I am getting at is the only way they would be correlated is if there was a bump in, say, long-haul volumes that would trickle down to, say, some of the smaller assets in that trading, but it sounds like what you are saying is that that's not the case and the markets are still very, very bifurcated. I wanted to touch on buybacks, because we've continued to execute there. I am just curious with things getting a bit softer, I am sure when you looked at that math, right, your own shares were then at more value than what you were seeing in either secondhand or in the newbuild market at the time. I am curious if maybe that is expressed as just a spread, right, I am curious as to where that math is now relative to where it was, say, earlier this year when you put the buyback in place. And are we anywhere near a point at which you would maybe start to reallocate some of that capital?
Harry Vafias: Good question. As you know, as we always have our eyes and ears open for acquisitions. Up to now we haven't seen something that is really fantastic and really very cheaply priced. So we have focused all our time and money to continue to buyback stock. We are nearly at the half point of the buyback program. We've spent $12 million. We have another $18 million to go, which I think is very positive for our existing shareholders. Now again, if we see a quality modern ship from a Japanese yard at a very good price, I'm sure that we will discuss it with the Board, and we might buy that. At the moment, the prices for brand new ships have not fallen. They have fallen by 5% or something like that. So we need to see far more pain for a far longer period for people to start discounting these high quality ships.
Michael Webber: Got you. And the buybacks to date, those have all been open market? Or have there been any pipes within that buyback program so far?
Harry Vafias: The vast majorities in the open market we have purchased a few blocks, but not significant numbers because not many people want to sell at this kind of valuation, I guess.
Michael Webber: Okay. Just one more, I know you mentioned around the newbuilds the debt is currently under negotiation. I would imagine, given the equity backstop, that that is not going to be too big of a problem, but just -- can you talk around terms and when we should expect something to be finalized there?
Harry Vafias: Yes, I mean we have even written it on the slide to be even more visible for everyone. We have the terms sit on our table for the remaining debt, but obviously we didn't take it because there is no point of paying fees two years in advance. So we've decided with the Board to finalize the remaining debt discussions by Q1 '16. So within the next, let's say, six months. So we hope that in Q1 '16 we'll announce the finalization of our total debt discussion, and therefore the only money left to be paid will be only the equity remaining for the newbuilds, the $6 to $7 million.
Michael Webber: Okay, great. That's helpful. Thanks for the color, guys.
Harry Vafias: Thank you, Michael.
Operator: [Operator Instructions] There are no further questions in the phone queue at this time.
Harry Vafias: We would like to thank you for joining us at our conference call today and for your interest and trust in our company. We look forward to having you with us again at our next conference call for our second quarter 2015 results in August. Thank you very much.
Operator: That will conclude today's conference call. Thank you ladies and gentlemen. You may now disconnect.